Operator: Thank you for joining us for Navios Maritime Partners Second Quarter 2019 Earnings Conference Call. With us today from the company are Chairman and CEO, Ms. Angeliki Frangou; Chief Financial Officer, Mr. Efstratios Desypris; and Executive Vice President of Business Development, Mr. Georgios Achniotis.As a reminder, the conference call is being webcast. To access the webcast, please go to the Investor Section of Navios Partners website at www.navios-mlp.com. You'll see the webcast link in the middle of the page and a copy of the presentation referencing today's earnings conference will also be found there.Now, I’ll review the safe harbor statement. This conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners management and subject to risks and uncertainties, which could cause actual results to differ materially from the forward-looking statements.Such risks are more fully discussed in Navios Partners filings with the Securities and Exchange Commission. The information discussed on this call should be understood in light of such risks. Navios Partners does not assume any obligation to update the information contained in this conference call. The agenda for today's call is as follows: We’ll begin this morning’s conference call with opening remarks from management team and after we’ll open the call to take questions.Now, I'll turn the call over to Navios Partners Chairman and CEO, Ms. Angeliki Frangou. Angeliki?
Angeliki Frangou: Thank you, [Laura], and good morning to all of you joining us on today's call. I am pleased with our results of the second quarter of 2019, during which Navios Partners reported $47.7 million of revenue and $22.3 million of adjusted EBITDA. Charter rate in the dry bulk sector have recovered after the tragic dam collapse in Brazil in January of this year.The Capesize [indiscernible] rate is currently at around $27,000, but they – and it’s about [indiscernible] the average Capesize [indiscernible] rate for the month of February, March, and April. NMM and a time charter equivalent of $14,130 per day for its fleet for the second quarter of 2019 and declared a quarterly distribution of $0.30 per unit representing a current income of approximately 7%.As you can see from Slide 5, NMM owns 37 vessels. In addition, NMM owns 33.5% of NMCI. After the 2018 distribution of 2.5% of the outstanding equity of NMCI to our unitholders. In sum, NMM has a strong balance sheet and competitive position in governing market in the dry bulk and container markets.Slide 6, sets forth the reasons we believe the Navios Partner is a premiere dry bulk shipping platform. We have about 635 million in remaining contracted revenue. Based on the current market rates, Navios Partners should generate about 60 million of free cash flow for 2019. We rewarded our unit holders with a 13.6 million and annual cash distribution equal to $1.20 per unit annually.We also have announced a 50 million unit repurchase program under which we have repurchased 0.3 million units year to date, representing approximately 3% of our unit outstanding. We have reduced our current debt by 8%, compared to year-end 2018 and have a modest net debt-to-book capitalization at the end of the second quarter of 2019 of 36.4%. Moreover, we will have no debt maturities until 2021 proforma for the Term Loan B refinancing.Slide 7 highlights our proactive approach to refinancing the Term Loan B, which we expect to be completed by year-end, and this includes 140 million bank facility for financing eight dry bulk vessels and five containerships. The facility has an amortization profile of 6.5 years, and a two-year term with interest at LIBOR plus 320 basis points. This facility completes 360 million of new financing that includes the 110 million of bank financing and 49.5 million in sale and lease back transactions. Since the end of 2019, we would have repaid 113.2 million of our Term Loan B.Slide 8 shows a significant cash flow potential. For 2019, our contracted revenue is expected not only to cover all our expenses, but also to generate free cash flow for NMM, 3,022 open days on index charges should enable NMM to generate significant additional free cash flow at current rate.Slide 9 show liquidity as of June 30, 2019, we had total cash of $35.2 million and total borrowings of 485.1 million, and net debt-to-book capitalization is a modest 36.4%. Moreover, our debt maturities are expected to significantly reduce proforma for the refinancing of our Term Loan B as described earlier. We have no debt maturities until 2021.At this point, I would like to turn the call over to Efstratios Desypris, Navios Partners CFO, who will take you through the results of the second quarter of 2019.
Efstratios Desypris: Thank you, Angeliki, and good morning all. I will briefly review our unaudited financial results for the second quarter ended June 30, 2019. The financial information is included in the press release and is summarized in the slide presentation on the company's website. Please note for simplicity, the discussion of the financial results below excludes the effect of one-off items listed in Slide 10.Moving to the financial results, as shown in Slide 10, our revenue from the second quarter of 2019 decreased by 18% to $47.7 million, compared to $58.2 million for the second quarter of 2018. The decrease was mainly due to the 14.2% decrease in the time charter equivalent rate attributable in the second quarter of 2019, as well as the 12.8% decreased in our available days.Adjusted EBITDA for the second quarter of 2019 decreased to $22.3 million, compared to $34.7 million in the second quarter of 2018, primarily due to the decrease in revenues, as well as a $1.4 million decrease in equity in net earnings of affiliated companies. Our adjusted net loss for the quarter amounted to $1.4 million. Operating surplus for the second quarter of 2019 amounted 6.2 million. Replacement and maintenance CapEx reserve were 7.3 million. Fleet utilization for the first quarter of 2019 was almost 100%.Moving to the six months operations, time charter revenue for the six months decreased by 15% to $94.6 million, compared to $111.2 million in the first half of 2018. The decrease was mainly due to the 16.2% decrease in the time charter equivalent rate achieved in the first half of 2019. Adjusted EBITDA for the first half of 2019 amounted to $45 million, compared to $66.2 million in the same period of last year, primarily due to the decrease in the revenue. Adjusted net loss for the first half of 2019 amounted to $3.6 million. Operating surplus for the six months ended June 30, 2019 was $11.9 million.Turning to Slide 11, I will briefly discuss some key balance sheet data as of June 30, 2019. Cash and cash equivalents was $35.2 million. In 2019 year-to-date, we have [reduced our debt] by $58 million. Long-term borrowings including the current portion, net of the fees and discounts amounted to $485.1 million.Net debt to book capitalization was 26.4% at the end of the quarter. As Angeliki mentioned earlier, year to date in 2019, we prepaid [115.2 million] to our long-term loan. The prepayment was made using $32.7 million of cash flow balance sheet and $90.5 million drawn on [indiscernible] transactions.Moving to Slide 12. We declared the cash distribution for the second quarter of 2019 of $0.30 per unit, equivalent to $1.20 per unit on an annual basis. Our current annual distribution provides for an effective yield of approximately 7% based on yesterday’s closing price. The record date is August 6, 2019, and payment date is August 9, 2019. Total cash distributions for the quarter amounted to $3.4 million. Our common unit coverage for the quarter is 1.8x.Slide 13 shows the details of our fleet. We have a large modern, diverse fleet with a total capacity of 4.3 million deadweight tons and an average age of 10.3 years. Our fleet consists of 37 vessels, 14 Capesizes, 15 Panamaxs, 3 Handymax, and 5 container ships.In Slide 14, you can see the list of our fleet with contracted days and their respective expiration dates by vessel. Our charters have an average remaining contract duration of approximately two years. Currently, we have contracted 93.9% of our available days for 2019, including days contracted at index-linked charters. The expiration days extend to [2020].In Slide 17, you can see the details of Navios containers. This, I think was listed in [NASDAQ in December 2018]. Currently, 29 containerships. Navios Partners have 53.5% ownership interest in Navios Containers.I now pass the call to Georgios Achniotis, Executive Vice President of Business Development to discuss the industry section.
Georgios Achniotis: Thank you, Efstratios. Please turn to Slide 17. The IMF forecast world GDP growth are 3.2% for 2019 and 3.5% in 2020. In spite of the continued U.S. China tariff issues, emerging and developing Asian markets, which drives dry bulk demand are expected to grow at a healthy 6.2% in 2019 and 2020.Due to the disruptions in the supply of iron ore in the beginning of the year, caused by the Vale mine accident in Brazil and weather issues in Australia, the PTI reached low 595 in mid-February. As iron ore shipments from both Australia and Brazil return to normal, Capsizes rates have dramatically improved reaching level not seen since 2014. The [BBI] crossed 2,100-mark last week for the first time since 2015.Moving to Slide 18. With iron ore prices $120 a ton and Chinese steel prices gone down by over [40 million] in the year to end of July, iron ore miners brought additional production online with [indiscernible] Brazilian miners increasing the exports. Forecast show an increase of about 70 million tons in global iron ore exports between the first and second half 2019, 37 million tons of weight will come from Brazil. These Atlantic based exports will drive [indiscernible] going forward.Coal and grain exports are also forecast to increase between the first and second half of 2019 by about 20 million tons. At the same time, the dry bulk demand is expected to increase, the supplier vessels expected to reduce during the second half of the year as vessels are rate profited with scrubbers. About 3% of the Capesize and [indiscernible] fleet is expected to be out of service in the second half of the year.Turning to Slide 19, Chinese steel production growth is an impressive 10% through June 2019. Chinese steel exports continue to be high, due to large infrastructure projects outside China. The Belt and Road Initiative remains the cornerstone of Chinese economic plans for the next few years supporting steel and power demand domestically and abroad. The Chinese government continues to stimulate the economy with large infrastructure projects resulting in 10.5% increase in internal steel consumption through May 2019.During the Q1 and Q2 iron ore supply disruptions, Chinese steel mills have hidden through their stockpiles, which have reduced by about 43 million tons between June 2018 and the end of July 2019. With additional availability of iron during the second half of the year, the stock prices are expected to be replenished before full-year end further driving demand for Capesize vessels.Please turn to Slide 20. Demand for coal in Asia remains strong. Chinese seaborne coal imports increased by 6% through 2019. India is expected to surpass China as the largest importer of coal in Asia in 2019. Coal imports to India are up 21% through April. Indian domestic charcoals to overcome logistic issues and therefore coal imports are expected to remain strong.Turning to Slide 21. Worldwide grain trade has been going up by 5.2% CAGR since 2008, mainly driven by Asian demand. The trade war between the U.S. and China affected the core grains in 2018 as the Chinese turned to South America for additional imports and reduced imports from the USA.Forecasts for large grain harvest in South America, Russia, and Ukraine will promote export sales going forward. The South American crops this year have been very good, soya bean, wheat and maize have continued to export in large quantities taking advantage over the disruption in China U.S. trade relations.Moving to Slide 22, net fleet growth is focused to be above 20.5% in 2019. The current order book before non-deliveries above 11% of the fleet, which is one of the lowest on record. Newbuilding contracting is down about 60% from 2018 level. Therefore, net fleet growth is expected to remain low over the next few years.Turning to Slide 23. Vessels over 20 years of age are about 7% of the total fleet, which compares favorably with 11% order book before non-deliveries. Scraping so far in 2019 has already surpassed the total scraping for 2018. The added course of complying with IMO regulations for balanced water treatment systems and fuel regulations are expected to result in higher scraping going forward.The disruption caused by the IMO 2020 fuel regulation changes should provide support to the dry bulk market through the balance of 2019 and into 2020. Furnished supply well tied in is about 440 vessels from Supermax to VLOC's, and expected to hit to drydock for extended periods, to retrofit scrubbers during the balance of 2019. In addition, as discussed earlier, about [9 billion additional tons] of the three major commodities are expected to be shipped in the second half of the year compared to the first.And this concludes my presentation. I would now like to turn the call over to Angeliki for her final comments. Angeliki?
Angeliki Frangou: Thank you, Georgios. We open the call to questions.
Operator: [Operator Instructions] Your first question comes from the line of Randy Giveans of Jefferies.
Randy Giveans: Hi, all. How are you doing?
Angeliki Frangou: Good morning. Hi, thanks.
Randy Giveans: Good morning. My first question, so obviously NMM robust cash balance, minimal debt and more to if you kind of alluded to, pretty significant free cash going forward, and obviously, a pretty massive distribution coverage ratio. So, with all that, how do you view the current distributions, do you expect any increases partly this year, now that dry bulk have improved so drastically?
Angeliki Frangou: The company, as you very well said, is in a very strong position, but we need to complete. As you saw, we announced the completion of our last piece for [branch finance of $140 million]. That will complete that refinancing of the Term Loan B before year end. And we do have now a little leverage, but about LTV’s including all our assets of about [50%], and we did all these and we used a lot of our cash. We used $50 million on the balance sheet – cash on the balance sheet, while we already have provided about – distribution of about – dividends of about 13.6 million to our investors [indiscernible] and about $5 million of buyback.So, we did a massive restructuring of our balance sheet to bring this leverage down, create a company with no – I mean we don't have any maturities until the end of 2021 and that is about [indiscernible] based on scrubber volume by $100 million and we have done all these while we gave $20 million back to our investors. So, I think we – first we need to complete this and I think we need to drive – we have to realize the lesson that we have to learn is to drive leverage down. What makes you a strong company is that you have a low leverage and the ability to really navigate, while we of course provide returns to our investors. I mean, we provided $10 million this year.
Randy Giveans: Okay. [Indiscernible] there. You know on the last call you said you basically have until 3Q 2020 time to complete the Term Loan B refinancing. Now, you're guiding to a kind of refinancing before the year end, so what has changed in recent months? Have the terms improved that much that you’re now pretty comfortable with it happening in the next few months as opposed to slipping into 2020?
Angeliki Frangou: Basically, we have completed the last piece so we will do it in – by September, October. I mean we will complete the entire financing. We did – if you see in Page 7, we announced a new facility of 140 million, that was the last piece that we are making on completing. And if you there, there is a bridge where you – we have done a [150 million] already refinancing on our Term Loan B from year end with the remaining 305 million being completed within the next couple of months until, you know, beginning of Q4.
Randy Giveans: Sure, sure. Okay. Well, it seems like you’re raising your targets there. And I guess lastly, for the vessels to charters expiring in the coming months, still the strategy is kind of keeping the smaller tonnage in the spot market, but possibly looking the lock away from the bigger Capesizes on term contracts?
Angeliki Frangou: No. Opportunistically we have finished vessels, you know, at a rate of 22,000. I mean as you have seen and – but – or 18,500 or 19,000 for the firm that sticks for five years. We are opportunistic, time to find in the high, in the Capesizes something something that we see on the – I think 20 is a good rate. On the rest of the vessels [indiscernible] and their evaluation of vessels that a lot of time [indiscernible]. In this [indiscernible], because that gives us the possibility to progress whenever we like and that is a much formal selection while it [indiscernible]. So, this is something that we will continue to do trying to maximize the return for – and specially for our investors.
Randy Giveans: Perfect. [Indiscernible] Solid quarter. Thank you.
Angeliki Frangou: Thank you.
Operator: Thank you. I now return the call to Ms. Angeliki Frangou for closing comments.
Angeliki Frangou: Thank you. This completes our second quarter numbers.
Operator: Thank you for participating in today’s conference call. You may now disconnect.